Operator: Thank you for standing by and welcome to Integra LifeSciences Fourth Quarter and Full Year 2022 Financial Results Call. At this time, all participants are in a listen-only mode. [Operator Instructions] I would now like to hand the call over to Chris Ward, Senior Director, Investor Relations. Please go ahead.
Chris Ward: Thank you, Lateef. Good morning and thank you for joining the Integra LifeSciences fourth quarter and full year 2022 earnings conference call. Joining me on the call this morning are Jan De Witte, President and Chief Executive Officer; Jeff Mosebrook, Chief Accounting Officer; and Mathieu Aussermeier, Vice President, Corporate FP&A, Investor Relations & Treasurer. Earlier today, we issued a press release announcing our fourth quarter 2022 and full year 2022 financial results. The release and corresponding earnings presentation, which we will feature during the call, are available at integralife.com under Investors, Events & Presentations and the file named Fourth Quarter 2022 Earnings Call Presentation. Before we begin, I would like to remind you that many of the statements made during this call may be considered forward-looking statements. Factors that could cause actual results to differ materially are discussed in the Company's Exchange Act Report filed with the SEC and in the release. Also, in our prepared remarks, we will refer to both reported and organic revenue growth. Organic revenue growth excludes the effects of foreign currency; acquisitions, divestitures as well as discontinued products. Unless otherwise stated, all disaggregated and franchise-level revenue growth rates are based on organic performance. And lastly, our comments today will include certain non-GAAP financial measures. Reconciliations of any non-GAAP financial measures can be found in today's press release, which is an exhibit to Integra's current report on Form 8-K filed with the SEC. And with that, I will now turn the call over to Jan.
Jan De Witte: Thank you, Chris, and good morning to all of you joining us today. We will take you through our accomplishments and financial results for 2022 as well as our plans and financial guidance for 2023. Please turn to Slide 4. 2022 was a year of many challenges for all of us, especially from the macro environment. I'm proud of our colleagues for having demonstrated themselves to be responsible stewards of our business, and the challenging economic and supply environment. We remain focused on doing right by our customers and patients, while delivering on our financial commitments to our shareholders. We met our full year organic growth targets, exceeded our original adjusted EPS guidance, advanced our strategic initiatives and bolstered key capabilities. So let me start by highlighting several of these accomplishments in 2022, including key new product introductions, commercial optimization and strategic M&A that not only expanded our portfolio, but also strengthened our capabilities to capitalize for growth. In our Codman Specialty Surgical division, we added important line extensions to our CUSA portfolio with a recent launch laparoscopic tip, and with clearance of our bone tip in late Q4. Although it's a direct contribution to our revenues in 2003 from these products will be modest, they illustrate continued differentiation of our CUSA product line with new functionalities that enhance the utility of this technology platform. We also launched the Aurora Evacuator plus coagulation tip in the U.S as we continue to partner with surgeons to address their needs and expands the Aurora platform. In our Tissue Technologies division, we launched NeuraGen 3D, a unique mid cap nerve repair product. We also successfully completed the integration of the ACell portfolio through the expansion of our wound reconstruction sales team. As planned a year ago, we returned the ACell portfolio to growth and grew double digits in the second half of 2022. Now that MicroMatrix, Cytal and Gentrix are fully integrated into our wound care business, we are well-positioned for strong sales growth and to deliver on our long-term expectations for that business. We made substantial progress on our PMA for the use of SurgiMend in implant based breast reconstruction and we remain on track with the approval timeline we discussed during the last earnings call, and at the recent JPMorgan Health Care Conference. In December, we acquired Surgical Innovation Associates or SIA, makers of DuraSorb, an innovative resorbable synthetic mesh. The DuraSorb will strengthen our strategy for the high growth breast reconstruction market. Now with DuraSorb and SurgiMend, we have a path to securing the first and second PMA products in the markets. And by offering two distinct product solutions to plastic and reconstructive surgeons, Integra can build a leading position by addressing various clinical contracting and economic needs across different sites of care. SIA was the first deal that came from our new M&A gameboard, which we completed in connection with our in-depth reviews of our divisional product market strategies. With our gameboard, we’ve laid out clear roadmaps for where and how M&A will contribute to our growth strategy. Finally, in line with our focus on differentiated regenerative technologies, we divested or non-core traditional wound care business or TWC, in the third quarter of last year. And listening [ph] to our portfolio and commercial properties, we continued to build out capabilities and our operations and organization. We closed a high-cost manufacturing facility in France and outsourced select back-office activities, which enabled us to increase profitability and redeploy resources to our strategic imperatives. We strengthened our organization with key executive leadership additions, including the appointments of Mark Jesser, company's first Chief Digital Officer as well as Harvinder Singh, who is heading up our International Business and is the first executive VP located outside U.S. We also added talents more broadly, particularly within our strategic marketing, manufacturing and quality organizations with the ambition to strengthen our innovation capabilities and operational efficiency. We continue to invest in talent development across the organization, focused on further stepping up engagement and inclusion to maximize the potential of our organization. Within our culture, we have embraced sustainability as a guiding principle in how we produce and deliver life saving technologies to surgeons and patients while providing financial returns to our shareholders. We formalized our sustainability roadmap last year when we issued our inaugural ESG reports. Our commitment to our culture was once again called out by several external organizations recognizing Integra for being a great place to work. Clearly we accomplished a lot for the year and belief dispositions as well for 2023 and beyond. Let's turn now to Slide 6 with the highlights of our 2022 financial performance. Despite the challenging environment, we delivered solid results for the year. And as I stated before, I'm proud of our colleagues for skillfully navigating through these hurdles in 2022. Our full year revenues were $1.56 billion, approximately 1% growth on a reported basis, inclusive of the TWC divestiture, and $38 million or 260 basis points unfavorable impact from foreign exchange compared to last year. We delivered 4.2% organic growth for the year. Excluding CereLink, organic growth across the remainder of our business was approximately 4.7%, demonstrating the strength of our diverse portfolio. Throughout the year, we saw consistent demand recovery in our markets and procedures ended the year at near pre-COVID levels. This provides a solid foundation for 2023 as we further mitigate supply challenges and prepare for the relaunch of CereLink by the end of the second quarter. We delivered above our February guidance range. Full year adjusted earnings per share of $3.36, representing growth of 5.7%. We overcame both higher-than-expected FX headwinds as well as the second half CereLink recall impacts. We increased our EBITDA margin by 40 basis points, while continuing to invest in both our operations and key strategic growth priorities. We also delivered solid cash flows for the year with $264 million in operating cash flow and 79% free cash flow conversion. Please turn to Slide 7 now for additional insights into our fourth quarter revenue performance. Fourth quarter, total revenues were $398 million, representing a decrease of 1.8% on a reported basis, inclusive of the $11 million unfavorable impact from FX and the impact of the TWC divestiture. On an organic basis, we delivered 2.9% growth compared to the prior year. Overall, we saw solid demand recovery across our various segments and key product lines, including double-digit growth from ACell. However, the growth across our business in the quarter was tempered by supply challenges, CereLink recall and normalization of private label orders. If you turn to Slide 8, we'll take a deeper dive into our CSS revenue highlights for the fourth quarter. Reported fourth quarter revenues in CSS were $265 million, an increase of 1.8% on an organic basis from the prior year. Excluding CereLink organic growth was 3.5% across the remaining parts of CSS portfolio, led by CSF management and advanced energy product lines. Global Neurosurgery sales were up 1.8%. Then that CSS management grew low double digits driven by growth in our programmable valves. Advanced energy grew low single digits driven by CUSA capital and small capital sales. Dural access and repair was down low single-digit as a result of supply challenges, including packaging material availability, and neuro monitoring declined mid-single-digits due to CereLink. Sales of Instruments grew low single digits in line with our long-term growth expectations for this franchise. And international sales in CSS increased low single digits with mid-single-digit growth coming from Japan, China and our indirect markets. Moving to our Tissue Technologies segment on Slide 9. Reported Q4 sales in Tissue Tech were $133 million, an increase of 5% on an organic basis from the prior year. Wound Reconstruction grew 8.2% on an organic basis compared to 2021, a solid performance across the portfolio, led by Integra Skin, PriMatrix, MicroMatrix and Cytal. We're pleased with the accelerated momentum of ACell delivering double-digit growth in the quarter and for the second half of the year as we finalized the integration of ACell and benefited from the increased capacity and productivity of the combined sales team. Sales in private label were down 4% for the quarter compared to 2021. You may recall that we saw double-digit growth in private label through the first half of the year as our partners increased their safety stocks to [technical difficulty] their supply chains. We have since seen these inventory levels begin to normalize, resulting in lower sales versus the prior year. Turning to Slide 10. I will cover the highlights of the P&L for the fourth quarter and the full year. Adjusted gross margin in Q4 was 66.3% down 50 basis points compared to 2021, more than expected as our supply chain challenges impacted some of our higher gross margin products. And we also saw impacts from the CereLink recall and inflation. Our Q4 adjusted EBITDA margin was 27.6% compared to 26% in the prior year, significant improvement of 160 basis points. We carefully managed our operating expenses by restructuring and redeploying overhead costs to investments in our key strategic growth drivers. Our disciplined spending management allowed us to improve our full year adjusted EBITDA margin by 40 basis points. Adjusted earnings per share for the fourth quarter were $0.94, up $0.10 versus 2021. Our full year adjusted EPS grew by 5.7%. The careful spending allowed us to offset full year FX as well as the CereLink recall headwinds and also enabled us to deliver full year EPS above the high-end of our original guidance. If you turn to Slide 11 for a brief update on our balance sheet and cash items. Operating cash flow in the quarter was $85 million; and free cash flow $71 million with 90% free cash flow conversion. On a full year basis, operating cash flow was $264 million and free cash flow was $222 million. As of December 31, our net debt was approximately $1 billion and total leverage ratio was 2.2x, below our target range of 2.5x to 3x. The company had total liquidity of $1.76 billion, including $457 million in cash and the remainder available under revolving -- under our revolving credit facility. With the strong cash flow, we’ve been able to pay down debt and return additional value to shareholders as we executed $125 million share repurchase at the beginning of 2022 and commenced a $150 million share repurchase in 2023. With 2022 behind us, let us now go to 2023 and turn to Slide 11. What will drive Integra in 2023 is a further acceleration of growth, strengthened margin accretion and stepped up investment in strategic initiatives to support future growth. On the revenue side, as I mentioned earlier, we exited the year with procedures near pre-COVID levels, providing us a solid foundation for growth in 2023. Our outlook reflects this procedural demand, along with a gradual improvement of supply, including sourcing reliability of components and packaging. We also expect overall demand for our products to further grow, and we are excited at the prospect of relaunching CereLink at the end of the second quarter. Our new products are expected to contribute to the company's growth, along with DuraSorb, the offering from SIA, our most recent acquisition. We intend to drive profitable growth in 2023 with strong gross margin improvements driven by favorable product mix, focus on price capture and increased efficiencies within our manufacturing sites. We will also benefit from the full year impact of our TWC divestiture and the closure of our high cost manufacturing site in France. With that profitable growth, we will reinvest in our business by stepping up our strategic investments and strengthening our core capabilities to position ourselves well for future growth. These key growth accelerators include: first, PMA readiness for SurgiMend and DuraSorb, which I mean execution on the clinical studies, delivery of the PMA submissions and preparation of our relevant manufacturing sites to produce PMA-level products; second, further advancements of our Aurora platform; and lastly, enhanced generation of clinical evidence to support regulatory approval and strong reimbursement of our portfolio and [indiscernible]. We will also invest in the expansion of our international business and our first digital pilots. Turning to Slide 13 to translate these drivers into financial expectations for 2023. For the full year, we expect revenues to be in the range of $1.602 billion to of $1.620 billion, representing reported growth of 2.9% to 4% and organic growth of 4% to 5.2%. Our revenue range accounts for 40 basis points headwind from FX, which reflects the lower impact compared to 2022 as a result of the strengthening of major foreign currencies versus the U.S. dollars over the past few months. If we look in more detail at full year revenue, we expect to see higher growth contribution in the second half of the year compared to the first half of the year mainly as a result of a number of 2022 timing items. First, as mentioned previously, we expect a gradual improvement in supply, which will contribute more heavily to the second half the year. Next, we have the year-over-year impact of the CereLink recall on the third quarter of 2022,and we anticipate relaunching at the end of second quarter 2023. Third, we expect private label to continue to normalize in 2023, resulting in tougher comps in the first half of the year. And lastly, we expect a larger contribution from our China business in the second half, given the end of rolling lockdowns late last year. Overall, at midpoint of guidance, we expect organic growth of approximately 3% in the first half and approximately 6% in the second half of 2023. On a reported basis, you will see the timing from the TWC divestiture to create an unfavorable comp in the first 8 months of 2023. Turning to our profit outlook for the year, we expect adjusted earnings per share to be in the range of $3.43 to$3.51. If you turn to Slide 14 for a look at our guidance for the first quarter of 2023. For the first quarter, we expect revenues to be in the range of $370 million to $376 million, representing reported growth of approximately negative 1.5% to flat and organic growth of 2% to 3.5%. We expect the first quarter to be most impacted by the year-over-year comps I highlighted before. Turning to adjusted earnings guidance for the first quarter 2023, we expect adjusted EPS to be in the range of $0.72 to $0.76, flat year-over-year at the midpoint of the guidance. If you turn to Slide 15, I will conclude with a brief look at our strategic pillars and the summary of our prepared remarks. As we outlined earlier this year, we've rolled the business around five strategic pillars from 2023 and beyond. The first three pillars is our biggest growth levers, driving stronger innovation for outcomes, catching up on our growth potential in international and broadening our impact across the care pathways in the therapeutic areas on which we focus. The last two pillars are key enablers: driving operations and customer excellence and cultivating a high-performance culture. These five pillars are a great way to understand how and where we're prioritizing our investments to achieve our 2023 results and building towards our long-range plan. We look forward to going deeper into our strategy and how we will execute at our May 4 Investor Day. So let's move now to the last slide, Slide 16 to conclude our prepared remarks. In 2022, we were able to capitalize on the recovering markets with our resilient and diverse global portfolio of products and great brands. We delivered about 4% organic growth for the full year in what was still a tough operating environment. Our execution in 2022 points towards a clear path of organic growth within the range of our long-range plan. Utilizing a broad set of operating levers, including price capture, operational efficiencies, careful restructuring and cost management, we exceeded our profitability commitment for the year, and we delivered additional value to shareholders in the form of share repurchases, a more focused portfolio and a strategic acquisition expected to strengthen our position in one of the most exciting growth markets implant-based breast reconstruction. We are positioned in 2023 and beyond to accelerate our organic growth rates and improve our gross margins. For 2023, a portion of that margin improvement will be redeployed to investments in our growth catalysts, which will temper our EBITDA and EPS growth. However, these investments will further strengthen our core capabilities and operational resilience while building capability to develop and deliver life-saving technologies and products for our customers, the fuel to enable us to meet our long-range plan targets. So that brings us to the end of the prepared remarks. I will hand it back now to Chris and the operator. And Mathieu Aussermeier and Jeff Mosebrook going to join me for the Q&A. Chris?
Chris Ward: Thank you. Lateef, we can open the line up for Q&A, please.
Operator: [Operator Instructions] Our first question comes from the line of Vik Chopra of Wells Fargo. Your question please, Vik.
Vik Chopra: Hey, good morning and thanks for taking the question. Just a couple for me. I guess the first one is can you provide an update on the CFO search? What's the criteria for the candidates and any time line, that will be helpful. And my second question is on margins. Jan, thanks for the comments, they were helpful. But how should we think about growth and EBITDA margins in 2023? Thank you.
Jan De Witte: Okay. So let me pick the first one, and I will ask Jeff to go a bit deeper into the margin question. So on the CFO search, we started late January with the search with an executive search company. Looking for the CFO who provides a good balance between on the one side, the operational capabilities. I mean Integra is a heavy operational business, many dimensions of operational excellence and, I would say, complexity. But also on the other end of the balance there, strong strategic capability and capability to engage in M&A. It's clear that at this point in time, we are an acquisitive firm company, and we will continue to be an acquisitive company. So we are looking for a CFO that has that balance. At this point in time, we are with the executive search company making a list of candidates. I expect that I'm going to be busy interviewing during the month of March. How that translates into a candidate being feet on the ground can take between 3 to 4 months. So that's on the CFO. I'll hand it to Jeff to give a bit of view on the margin evolution in 2023. As I've communicated during my prepared remarks, we definitely made a choice to reinvest some of our strong gross margin improvement in 2023 to reinvest in several investment areas that all of them support our growth capability. But I will let Jeff go a bit deeper on this.
Jeffrey Mosebrook: Thanks, Jan. And Vik, to kind of walk through your question, maybe start first on the gross margin. So, Jan, in his prepared remarks, and the way he just highlighted a lot of positive things we see across gross margins. So when you start first on the revenue side, you see the benefits that we are going to drop through in 2023 with the product mix and the price capture. You couple that with the benefit that we will see for the full year for the TWC divestiture will drive benefits there along with what we are seeing with manufacturing efficiencies that we hope to gain in 2023. Some of them was mentioned around the closure of a high cost facility in France as well, too. So overall, when we look at gross margin, we see that improvement being around 100 bps mid of improvement there. So that's going to be the capture that we're expecting going into 2023. Now if you move to the operating expenses, as Jan had mentioned, we are really trying to apply that and make sure that we are redeploying and we are looking at our strategic investments. And we mentioned a couple of kind of key areas there, the SurgiMend and the doors PMAs, new products, R&D and clinical, international expansion along with some R&D along the digital pilot study. So what you're going to see from an EBITDA is really modest EBITDA margin expansion as the offset related to the gross margin expansion will be within the operating expense as we continue to invest into the growth drivers of our business.
Operator: Thank you. Our next question comes from the line of Robbie Marcus of JPMorgan. Your question please, Robbie.
Unidentified Analyst: Hi. This is Alan on for Robbie. I had a quick one on the quarter and then on 2023. So starting with the quarter. We were talking about gross margin, but from our perspective, it looks actually came in a little bit softer than expected, especially when you look at the kind of fact that it worsened year-over-year and also sequentially despite the fact that macro -- currency macro was generally full of pressure, but not as bad as expected. Can you just dive into what drove that relative softness and whether or not there's upside to that 100 basis points you just called out?
Jan De Witte: So let me maybe a quick answer on the -- I understood you talked about gross margin, right, for the fourth quarter, Robbie?
Unidentified Analyst: Yes, that's correct.
Jan De Witte: Yes. So if you look at -- there's an impact of the mix as a result of the supply shortages, specifically packaging materials, we felt shorter. We have higher backorders than we wanted on our dural access and repair, which is a higher profitability product. So yes, that mix pushed along the site. Then of course, still a bit impact from the CereLink recall, customer making during the quarter. And then third, impact from -- on a comparative basis, impact from inflation that was hitting us on the gross market side, inflation that came through our factories during the year. And those are the three main levers playing in the fourth quarter.
Jeffrey Mosebrook: Yes. Jan, I just probably would add there. Again, you had mentioned about the FX. We still look at the FX in a year-over-year, it was significantly worse versus Q4 from the prior year. And as Jan mentioned, relative to some of our costs, what we see is some of the inefficiency with our manufacturing that happened in the earlier part of the year, those amounts get deferred and then expensed in Q4. So the gross margins came in lighter in Q4, but that was within our guidance and within our expectations.
Unidentified Analyst: Got it. And [technical difficulty] 2023, when we look at your organic growth range 4 to 5.2, at the top end, you're coming at the very low end of the LRP. I know there's still some puts and takes to the year. But with -- you have CereLink coming back in the first half, so you have difficult comps in the first half offset by easy comps in the back half, recognizing that it will take time to get that going. And also you'll be working on integrating SIA. I guess what gives you confidence that you can continue to kind of drive that reacceleration and back to growing sustainably within your LRP and hopefully getting closer to the high-end of the LRP? Thank you.
Jan De Witte: Yes, I would give you the short answer. And if you want to go a bit deeper, we can. But first, and as I communicated before, we have our two portfolios and the markets they're in. I think in Tissue Technology, clearly in 2022, yes, it proves to be that 7% to 9% growth business, definitely with ACell starting to pull heart but also the rest of the portfolio delivering well. Yes, we see a normalization of our private label. That definitely carried more than its weight in '22, yes, but it's going to normalize in '23. But overall, that portfolio is doing what we expect it to do. And then the neuro portfolio 3% to 5% markets, which if you look at the portfolio in '22, excluding CereLink, definitely delivered that. With CereLink coming back, yes, that will contribute to its rightful weight in the portfolio. So if you take those two together, we're a 5% plus business, and that's what we're working towards in 2023.And now a couple of the year-over-year comparisons make that a bit more difficult with different ups and downs in 2022. But overall, that gives me confidence in the portfolio that we’ve in the 5% to 7% range that we have set as our long-range plan. On top of that, there's a couple of NPIs that were launched in '22, which will start to deliver more -- increasingly more over 2023. I'm thinking about Aurora and NeuraGen, at 3D, two of the 2022 losses that will show up in '23.
Jeffrey Mosebrook: It is important also to note that from a CereLink perspective, we are really counting on revenue in the second half as we are looking at our guidance range.
Chris Ward: Question please.
Operator: Thank you. Our next question comes from the line of Steven Lichtman of Oppenheimer. Your line is open, Steven.
Steven Lichtman: Great. Thank you. Good morning, guys. So I wanted to ask on a couple of topics. One on product pipeline over the medium term. Can you give us an update on both SurgiMend and Aurora? What are the key milestones that we should be looking for on both --both in terms of your discussions with SurgiMend and on the Aurora rollout? And then Jan, maybe the second question, could you just flesh out a little bit more on what you see as the international opportunity? And what should we be looking for from Integra in 2023 as you really continue to build that out? Thanks.
Jan De Witte: So first on a question on the product pipeline. One, SurgiMend, as we communicated on the last slide, we're well on track to do our submission in -- it's going to be August of this year. So that submission of further data that we've been working together with the FDA will be submitted. We are well on track to do that, and that should lead -- and we feel good about our prospects to get PMA somewhere over 2024. With Aurora, at this point in time, it's about putting further instruments in the field to drive utilization and drive experience with the surgeons. Last year, 2022, I mean, low revenues was not the target. We expect in 2023 to have the first, call it, material revenues also Aurora to show up on the top line. So that's on the product. In terms of international opportunity: one, the international historically has been able to continue to be high-single-digit growth driver, strong growth in Asia, Japan, China, for sure. But also if you look at our indirect markets in the Middle East, Latin America, Canada, good drivers. In parallel, we are working different investments into international. First, more feet on the street. There are still some regions where we are underrepresented versus what we -- with our current portfolio. And then second, we're building out our global portfolio in international. We just launched early in January the ACell portfolio in Europe. So that's existing products in new markets that will add to international growth. We're further exploring opportunities for tissue technologies in Europe, but also in select Asian countries. And then from a neuro surgery perspective there -- given we're well-positioned in Europe, looking for further opportunities in Asia, places like China to bring more of our new surgery products into the market. So two -- mix is one. It's a good market, and we are feeding the good markets with the products we have. And then second, we are introducing products that we have into both Europe and Asia. While in parallel, we are not excluding M&A opportunities to further build out our footprint in international.
Steven Lichtman: That’s helpful. Thanks, Jan.
Operator: Thank you. Our next question comes from the line of Matt Taylor of Jefferies. Your line is open, Matt.
Matthew Taylor: [Indiscernible] Matt Taylor, I don’t know [indiscernible]. Okay, great. So thanks guys. I just wanted to ask a question about some of the factors that are going to help you in the second half of the year. I guess, could you quantify the amount of contribution that you expect from CereLink and understanding that you'll be in the 6% range implied in the second half of the year, you're within your LRP targets. But -- do you think that's a good jumping off point to be able to consistently grow in that range as you move into 2024?
Mathieu Aussermeier: Yes. So Matt, this is Mathieu here. So again, when you look at our first half, second half and kind of the ramp from the 3% to 6%, CereLink, we are not banking on any revenue in the first half and coming back in the second half. If you look at what we have seen historically in terms of sales coming back from CereLink, we think we’re going to be gradually coming back to this in the second half and then entering 2024 with, again, a stronger base growth in that year. In general, in terms of trends into 2024, I think we will continue to make progress towards our long-term plan, which is really that 3% to 5% on the CSS side. It's that 7% to 9% on tissue tech, and we expect to make strides going forward, '23, '24 and onward to achieve those long-term targets.
Matthew Taylor: Okay, great. And maybe just one follow-up. You talked about the private label normalization a few times. Can you be more specific about how you expect private label to grow in '23 because of the tough comps in the first half?
Jan De Witte: I will give this again to Mathieu.
Mathieu Aussermeier: Yes. So first half, when you look at private label, I mean, we definitely expect a year-over-year comp that's going to be down. First half 2022 was really our strong half, I would say, of 2022. And as you go into the second half, we expect it to be slightly down to flattish, bringing the year on a year-over-year comparison to down low single to mid-single-digit on the private label segment.
Matthew Taylor: Great. Thank you very much.
Jan De Witte: But overall , Matt, private label is mid-single-digit growth business. And that's where we will be back at those levels. As of 2023, we will continue in the out years.
Matthew Taylor: Okay, great. Thanks for the clarification there. Thank you.
Operator: Thank you. Our next question comes from the line of Ryan Zimmerman of BTIG. Please go ahead, Ryan.
Ryan Zimmerman: Okay. Good morning. Thanks for taking my questions. I guess, I want a little more clarity on the margin line because as I think about the long-range plan, when do we get to kind of that low teens or double-digit EPS growth? The 100 margin -- the 100 basis points of margin expansion you're expecting, is that absolute for '23? Because I guess I'm curious if there's anything baked in, in terms of inflation headwinds or other FX that you're talking about? Or should we assume that you're going to get 100 bps of margin expansion in '23 on an absolute basis and all in? And just as a second to that, when do we get back to kind of that low double-digit EPS growth? Because if I look at kind of where margins are going coupled with some of the sales and marketing structure, it doesn't look like we're going to see a double-digit number in '24 as well, just looking at kind of where the margins are at today.
Jan De Witte: Okay. Let me -- I'm going to hand it back Ryan to Jeff, but also to clarify a couple of things more on the gross margin, which I think you fully captured. Jeff?
Jeffrey Mosebrook: Yes, Ryan, so going back to that 100 bps, that was a discussion around the gross margin side. So where we see gross margin improving 100 bps mid relative to kind of those drivers we mentioned before. Now when we talk about kind of year-over-year and modest EBITDA improvement, keep in mind within our OpEx, the redeployment that Jan was speaking of, which is a reset kind of coming out of our expense management that we had in the second half of the year, you also have to couple that with the SIA acquisition we did at the end of December. So that acquisition brought within operating expense, and we mentioned within that deal that it would be dilutive. So it's adding the additional R&D and commercial with that business to make sure that we support it going forward, both from the PMA perspective and commercial execution there as well, too. So I think relative to 2023, you got to keep in mind, there's a lot of moving parts on the top line with timing, and that has created some noise in the first half and the second half and then also on the operating expense side the investments that we're making along with SIA as well, too, that is making our EBITDA growth more on the modest side. But again, gross margin growing at 100 mid basis points offset on the operating expense with those investments that we talked about.
Jan De Witte: So maybe, Ryan, just to add to that, because I mean Jeff used the term 100 bps mids, which it means well above100. 
Jeffrey Mosebrook: Correct, yes.
Jan De Witte: So that's one. Our -- yes, we definitely, for 2023, are driving strong gross margin accretion as a result of -- yes, on the one hand, yes, some of the mix portfolio changes we've done and focus on operational efficiencies, okay? So that's one. Second, in terms of what I flagged as we are investing in growth. If you look back at our OpEx pattern first half, second half last year, you'll see that second half were significantly lower on OpEx. At that point in time, I told our investors that -- this is preparing not just to compensate for CereLink, but also preparing to redeploy which we're doing. So you will see that OpEx come back and more, part is the SIA acquisition. But part is that we're reinvesting the money we redeployed last year. And I would say, in total, there's about $35 million of redeployed money that we're reinvesting in 2023, okay? So that brings our OpEx level back to a bit more normal level, we say, like the first half of '22 plus the SIA acquisition and some labor inflation, okay. So those two elements, that's essentially the re-step up of our OpEx that is keeping our EBITDA progress in 2023 at a [indiscernible].
Ryan Zimmerman: Okay. Let me ask about market growth, and I'm going to ask a little bit away from the P&L for a second. As you think about the puts and takes of the business, and I know CereLink is coming back and so forth, what are you assuming for overall market growth, be it Neurosurgery or Tissue Tech? Are those markets at depressed levels right now, in your view? Because if they're not, then you are losing share, I guess, relative to your market in the first half of this year. And if they are at depressed levels, when are you assuming they come back? And is that in coordination with the product drivers you're talking about? And why not get more of a boost, I guess, in the back half of the year?
Jan De Witte: So we see the markets pretty much back at their normal [technical difficulty] we've seen Q4 except for a couple of countries, but yes, we are pretty much back to normal. The growth that you see, we don't think we're losing share. And then there's definitely with CereLink not in the market, growing that market. But the other parts of the portfolio are doing as we expect them to do. And even in several areas, when I look at our capital, when I look at our CSS, I mean, we are definitely capturing share. So I think the numbers you see I mean have several elements of year-over-year comparison that may make you think differently, but that's definitely not the case. We see the market sits back and good, we see our position strong in the markets.
Ryan Zimmerman: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Rich Newitter of Truist. Your line is open, Rich.
Richard Newitter: Hi. Thank you for taking the questions. Just maybe sticking with the margin outlook. I think I heard you say earlier in the call, modest EBITDA margin expansion or operating margin expansion. I guess I'm just -- for the full year, I'm trying to figure out how you get there. Earnings growth is effectively in line more or less with the top line and you have a repo in there. So maybe help flesh out, are they below the line non-operating items and tax interest that are considerations there that would lead to modest expansion. I'm getting more to flat, maybe even slight deleveraging. And then secondly, on the cadence of margin improvement, it sounds like you you're going to step up the spending back to "normalized" level pretty immediately starting in the first half. That's where growth is on the top line a little bit lower between the first half and the second half. So should we be thinking about different margin delevering and levering profiles in the first half and second half? So any color you can provide on kind of the margin cadence moving through the year?
Jeffrey Mosebrook: Yes. Thanks, Rich. So maybe just walking down the rest below EBITDA. So I think keep in mind, as you're kind of modeling through the EPS with the range that we gave, walking down kind of on the tax rate, that's an area to call out. We did have in 2022 a benefit from stock comp that we don't see will be reoccurring in 2023. So we are modeling our tax rate around 19% for the year. So that's year-over-year about 100 -- a little bit over 100 bps of increase in tax rate. You had mentioned the share count, but that is the key point as well, too, as we initiated in early Q1 a $150million share repurchase. So you have to factor that into an updated share count for the rest of the year. and that really kind of drives to our EPS guidance that you mentioned. And again, recall, on the operating expense as well, too, it's the deployment of those additional investments that Jan had mentioned, plus the addition of the SIA acquisition that was in December that's adding the additional expenses and contributing to the modest EBITDA improvement.
Richard Newitter: Okay. So …
Jeffrey Mosebrook: On the cadence question -- on your cadence question, I think you had asked, so I think you're correct. You'll see a little bit of the drive and the profitability, matching the revenue. We had provided the guide of the walk of the first half of 3% versus the second half at 6%. So that will align with some of the profits as well, too, as the operating expense investments will be fairly evenly throughout the year, with maybe a slight uptick in the second half, but you'll see more profit driven more in the second half of the year.
Richard Newitter: Okay. Thank you. Maybe just one on CereLink. As we think of the products return to market, should we be thinking about the incremental revenue contribution at least in 2023 is more just getting supply back to existing customers? Or are you banking or is your guidance assuming actually opening new accounts and incremental revenue beyond some baseline level that you get back to?
Jan De Witte: We definitely count on opening new accounts. As I communicated before, our manufacturing capability is ready. We have a different parts yet ready to start manufacturing. So the capacity is not -- it's not really going to be a bottleneck. At this point in time, on CereLink, we are running the validation, verification of the new technical fix generating statistical significant data that we then take it to the FDA and get back into the market after submission.
Richard Newitter: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Jayson Bedford of Raymond James. Your line is open, Jayson.
Jayson Bedford: Hi. Good morning. Just maybe a couple of quick ones. You mentioned price capture as part of the stronger margin profile. Can you just provide a little bit more detail as to price the discussions, any pushback you're getting? And what's the contribution to revenue growth in '23?
Jan De Witte: So thanks for the question, Jayson. In terms of price, we communicated last year that typically, we've always gotten some price in the range of 1 percentage. Last year, we aimed at four more, and we succeeded in getting more this year, given the realities of inflation that we saw last year and some of the inflation that is hanging. We are aiming a next step higher. And as far as we see customers understand we are not the only [indiscernible] company that is adding price to deal with inflationary prices. So we are on a path to get more than last year, which definitely is significantly more than what we would get in a typical year.
Jayson Bedford: And Jan, that's on a net basis, meaning if I just look at kind of your $1.5 billion in revenue in '22, you expect to get north of 1% in price in '23 across the portfolio?
Jan De Witte: Yes.
Jayson Bedford: Okay. Okay. And then just quickly, second one. The mid-single-digit decline in dural access repair, it sounds like much of it is supply chain-related. Are there any demand issues? Or are there any kind of competitive market share dynamics at play as well? Thanks.
Jan De Witte: No, no, this is all supply and then primarily packaging material, unpredictable availability, let's call it that way. So we are losing some manufacturing capacity, yes, as a result.
Jayson Bedford: And when this expected to be alleviated, the supply chain dynamics?
Jan De Witte: We will definitely expect it to take all the first half to bid-by-bid improve. This is about the supply chain getting back to its capacity. We are developing and have developed parallel suppliers of some of these packaging materials. So we are alleviating some of the root cause. But for some, we will have to continue working with supplier a bit of a bit get back to the capacity of material supply that.
Mathieu Aussermeier: And Jason, this is Mathieu. This is also, I would say, kind of a good example of what we are going to see throughout 2023 in terms of gradual supply recovery, right? What you mentioned here from a dural access and repair perspective is really in line with how we kind of look at 2023 and the step up of supply recovery.
Jayson Bedford: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Joanne Wuensch of Citi. Your question please, Joanne.
Unidentified Analyst: Hi. This is actually Anthony on for Joanne. Thank you for taking our questions. First comment in China grew mid single digits this quarter despite what we've seen with [indiscernible] with the reopening. Can you just talk about maybe what specifically driving the growth there? And then what your outlook is for growth in China this year? And then I'll ask my follow-up just that you could discuss what you're seeing in terms of hospital appetite for new capital? Thank you.
Jan De Witte: I got your second question. Well, the first one, not sure, Anthony. What -- could you repeat?
Unidentified Analyst: Yes. Sorry, just asking about the Codman growth in the quarter, I believe you said it was mid single digits in China. So just curious maybe what specifically you're seeing in China, what's driving the growth there and then your expectations for China growth in 2023?
Jan De Witte: Yes. So what we saw in China over the fourth quarter, still some impact of the rolling lockdowns. What we still saw in the fourth quarter mid-single-digit growth, but that's compared to what the double-digit growth we are expected to see from China. And so from China, we expect as of the second quarter this year to be back to that double-digit growth rhythm. The first quarter still going to be a bit of a mix with some of the Chinese New Year and some of the January COVID wave that passed to the country. We definitely saw impact. Although coming out of Chinese New Year, I think most people are pleasantly surprised on how the ripples flattened out quite quick. So yes, first quarter do not expect double-digit yet, but as of the second quarter, I see China back into a normal rhythm, which is driven by the further growth of health care in that country but also our drive to move from Tier 1 to Tier 2 and 3 hospitals. So we are spreading our geographic coverage in China, okay? And that's the second -- be on the market. That's the second big growth driver for our Codman portfolio there. The question on capital. Capital in the fourth quarter has been solid, remains solid. We ended the year with very healthy funnels. And we pretty much have seen this healthy cap all over 2023. And the only thing that we've seen a bit different over the years that decision timings have become longer, and that's primarily driven by just the administrative processes that seem to run or turn a bit slower. We do not expect that to accelerate quite rapidly. But we consider we are at the new steady state where decisions will take longer. But the pipeline is well filled, and we will get the deals out of that pipeline at a steady growth phase that we've seen last year.
Operator: Thank you. Our next question comes from the line of Dave Turkaly of JMP Securities. Your question please, Dave.
David Turkaly: Yes. Great. Jan, I'd just like to get your thoughts on sort of valuations out there. It seems like a lot of the private companies are compressed. And if that's true, I'll just add the second part in here. And you're a little below the LRP on top line and you're under leveraged. Why do you think the $150 million buyback is the right allocation choice right now? Thank you.
Jan De Witte: So I think you know as a discipline with our balance sheet, when we initiated the $150 million buyback, there were two drivers. One, given what we have in our M&A objectives, what we also have on the balance sheet, we felt that we both could give the capital back and still not impact our M&A planning. And then second, from a timing perspective, when we did the SIA acquisition, we knew first year $0.06 dilutive. And with that buyback, we wanted to isolate our shareholders from that impact. So I see it more as a strength of our balance sheet that we can do both do M&As, but at the same time, also if we have excess capital to not let it linger on the balance sheet, but bring it back. What do you say on the depressed valuations, we are very aware of that. And, yes, we definitely know what are the targets that we want to master for this year and the next years.
David Turkaly: Thank you.
Operator: Thank you. Our next question comes from the line of Matthew O'Brien of Piper Sandler. Your line is open, Matthew.
Matthew O'Brien: Okay. Thanks for taking my question. Just a follow-up on Dave's question there a little bit, Jan. You've got your gameboard, you're not that levered, but you're making a lot of investments in the organic business this year. And the inorganic acquisition from last year. So is it fair to think that the likelihood of a chunkier deal this year is lower just because of all you got going on right now and more -- we should like more technology or very smaller tuck-in acquisitions versus something bigger? And then I do have one quick follow-up.
Jan De Witte: So I would not make that translation to all these smaller deals yet. Definitely, on our gameboard, which is driven by strategy, there's deals that are more tuck-in, like there's also a more significant objectives. And our balance sheet is not keeping us from having to make a selection on which we can afford, okay. So the timing is mainly driven by whether on both sides of the table, there's the willingness to transact.
Matthew O'Brien: Okay. Thanks for that. And then ACell was an acquisition that was done that was challenging to start with, but based on the results here recently has been -- is really perking up. So can you just maybe deconstruct a little bit of some of where that growth is coming from? And then the confidence level and the durability that you're seeing there on the low double-digit growth side of things? Thanks.
Jan De Witte: Well, the simple story on ACell is that as part of the first moves on the acquisition, we essentially had to reduce that sales force. This was linked to SIA agreement that was on this business that we did not want to take over. So we essentially had to rebuild parts of that ACell sales force. And that took time and investing in bringing new people on board starting end of 2021. And as we communicated over the first quarter and the second quarter, where we said, look, we are bringing people on board. We are getting them up and running. It's going to take 6 months before they hit the street, I mean all of that pretty much played out as we projected, and we saw the results in the second half. This product today in the acute wound and reconstruction clearly has its place to fill or to care for deep wounds. We also see a bit of a combination effect where some of the ACell products pulls some of the other tissue technology products. So overall, when I look back, I think the strategy for this product was right. Its [indiscernible] that fits in our portfolio. I think the start up was a bit with a down and then back up as we had to rebuild that sales force, yes. But -- and clearly, also to me, our sales teams have proven that they understand how to build and run the sales organization.
Matthew O'Brien: Okay. Thank you.
Operator: Thank you. This concludes Integra LifeSciences fourth quarter and full year 2022 financial results call. Thank you for participating. You may now disconnect.
Jan De Witte: Thank you, Lateef.